Operator: Good morning, and thank you for standing by. Welcome to Birkenstock's First Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. The company allocated 60 minutes in total to this conference call. I would like to remind everyone that this conference call is being recorded. I will now turn over the call to Megan Kulick, Director of Investor Relations.
Megan Kulick: Hello, and thank you everyone for joining us today. On the call are Oliver Reichert, Director of Birkenstock Holding plc and Chief Executive Officer of the Birkenstock Group; Erik Massmann, the outgoing Chief Financial Officer of the Birkenstock Group; and Ivica Krolo, Chief Financial Officer of the Birkenstock Group as of February 1st. Klaus Baumann, Chief Sales Officer; David Kahan, President Americas; Nico Bouyakhf, President, EMEA; Alexander Hoff, Vice President, Global Finance will also join us for the Q&A. Today, we are reporting the financial results of our fiscal first quarter of 2025 ending December 31, 2024. You may find the press release and a supplemental presentation connected to today's discussion on our Investor Relations website at birkenstock-holding.com. We would like to remind you that some of the information provided during this call is forward-looking and accordingly is subject to the safe harbor provisions of the federal securities laws. These statements are subject to various risks, uncertainties and assumptions, which could cause our actual results to differ materially from these statements. These risks, uncertainties and assumptions are detailed in this morning's press release as well as in our filings with the SEC, which can be found on our website at birkenstockholding.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During the call, all revenue growth rates will be cited on a constant currency basis unless otherwise stated. We will also refer to certain non-IFRS financial information. We use non-IFRS measures as we believe they represent the operational performance and underlying results of our business more accurately. The presentation of this non-IFRS financial information is not intended to be considered by itself or as a substitute for the financial information prepared and presented in accordance with IFRS. Reconciliations of IFRS to non-IFRS measures can be found in this morning's press release and in our SEC filings. As a reminder, this quarter marks the first quarter we are reporting under our new operating and reporting segments, the Americas, EMEA and APAC. We filed a 6-K on January 16 with a recast of fiscal 2023 and 2024 segment results to align with the new reporting structure and to aid in your analysis of our results. With that, I'll turn it over to Oliver.
Oliver Reichert: Good morning, everybody, and thank you for joining today's call. Before I start the quarterly review, I want to thank Erik for his strong leadership and guidance over the past two years as we navigated the IPO process and first year as a public company. Erik, I wish you all the best in your future personal and professional life. And of course, I want to welcome Ivica Krolo to the Birkenstock family. Ivica brings the operational background we need as we allocate our resources to the most attractive opportunities for both revenue growth and cost containment. Ivica also brings the technical background to continue Erik's efforts to level up our finance function across all areas, including audit, tax and SG&A. I look forward to working with you as we write the next chapter of our success story. Welcome, Ivica. We are proud to report very strong start to our fiscal 2025 with record first quarter results, which came in ahead of our expectations, driven by very strong holiday demand for Birkenstock's products. We delivered 19% revenue growth in the first quarter, above the high end of our 15% to 17% target for the full year. Revenue growth was supported by double-digit volume growth and mid-single digit growth in average selling price. Growth in our B2B business benefited from very strong sell-through and reorders from our key wholesale partners throughout the holiday season. And our DTC business also strengthened during the critical holiday shopping period as strong gifting demand for styles such as the Boston clog led to record traffic to our websites. We are starting fiscal 2025 much in the same way we exited fiscal 2024 with strong and growing demand from our core markets and products by leaning into the white space growth opportunities we have identified, closed-toe shoes, the APAC region and owned retail. During the quarter, revenue from closed-toe silhouettes grew at over twice the rate of the overall group and increased share of business by 600 basis points. Accounting for well over half of the revenue in the quarter, our peak winter quarter. During the first quarter, 12 of our top 20 selling silhouettes were closed-toe, including six in clogs and six in traditional lace-up shoes and foot category. We are very successfully turning Birkenstock into a four-season brand. Our APAC business grew at 47%, 2.5 times the pace of the overall business. And we opened four new owned retail stores during the first quarter, bringing the total to 71 stores globally. By channel, as expected, we saw continued strength in our wholesale business, which grew by 30% during the first quarter of 2025. Once again, over 90% of the growth came from within existing doors as our partners continue to allocate more shelf space to the Birkenstock brands. Our DTC business grew 10%, a strong result when compared to the 30% growth in the year ago quarter. As we look to Q2 and the remainder of 2025, we expect more balanced growth between our D2C and B2B businesses, with D2C likely to grow slightly faster than B2B in the second half of the year as we continue to add additional stores and invest in our digital business globally. Our membership base continued to grow nicely, reaching 8.8 million loyal members, up nearly 30% year-over-year. Now let's move to a brief discussion of segment performance for the year. Within our largest segment, the Americas, we experienced strong consumer demand for our brand throughout the quarter, especially around the peak holiday shopping period. Revenue in the region was up 16% compared to the first quarter of 2024. Closed-toe share of business reached nearly two-thirds, driven by the incredibly strong demand for clogs, a category like sandals that is becoming synonymous with the name Birkenstock and making us a year-round wardrobe staple. B2B was especially strong as many of our strategic partners allocated more space to Birkenstock and experienced very strong holiday sell-through with many high-demand styles, such as the Boston clog selling out at most retail partners. Americas DTC, which is almost entirely from our digital business, strengthened late in the quarter as shoppers thought out high-demand holiday gifting items, including clogs, home shoes and our shielding executions, especially as the cold weather setting. Search for Birkenstock clogs was up 70% over the critical holiday shopping period versus last year, driving increased traffic to birkenstock.com. We expanded our physical retail presence, opening our Boston, Newbury Street store during the quarter, the ninth location in the U.S. and we plan to add several additional stores later this year. In EMEA, we delivered growth of 17%, which was broad-based across all countries. This result stands out in the current market environment, characterized by flat market growth, macroeconomic challenges and uncertainty. As consumers switched to their winter wardrobe, they remained loyal to the Birkenstock brands. Closed-toe, including clogs grew over 2.5 times faster than sandals, driving ASP higher. Lace-up shoes and boots were up over 50% and increased share of business by 300 basis points. In our online channel in EMEA, 16 of our top 20 selling styles were Closed-toe, including seven boots. Shoes became the number two category in EMEA, showcasing strong growth in this important expansionary category. In our B2B channel, we doubled share of business in shoes compared to last year and continue to see strong growth in our order book for spring/summer '25. We were pleased to see that Birkenstock was the top choice and holiday wish list with sell-throughs at our key retail partners increasing up to 30% year-over-year during gifting season. We opened a new store in Amsterdam, Netherlands, during the quarter, bringing our store count in EMEA to 35 and identified key locations throughout Europe for additional owned retail stores through 2025. The APAC region was again the fastest-growing segment in the quarter, growing 47%, 2.5 times the pace of the overall business and now representing 13% of total revenue, up from 10.5% a year ago. Growth in the quarter benefited from an accelerated pace of store openings and earlier shipments to some B2B partners as we continue to make progress toward penetrating this significant white space for the Birkenstock brand. Aligned with our roadmap and commitment to the region, we added two new owned retail stores, bringing our total to 27 in the APAC region. We also expanded our strategic partnerships, increasing our mono-brand partner doors by 19. We expect the pace of openings to moderate in the coming quarters, leading to a more normalized APAC growth rate of double the group average. Greater China made up approximately 30% share of APAC revenue and grew above segment average. We are still in the early stages of our market rollout there, but are steadily building brand awareness and demand through our increased retail and online presence. It is a market where we see a tremendous opportunity for strong brands to take share. We opened our first owned store in Chengdu in October and will turn our successful pop-up store in Shanghai into a permanent store later this year. I will now turn it over to Erik to discuss our financial results in more detail.
Erik Massmann: Thanks, Oliver, and good morning, everyone. Before I jump into the quarterly results, I want to thank you all for your partnership, support, and patience as we navigated the IPO process and first year as a public company together. I wish Ivica and the entire Birkenstock family continued success in the future. Now, I'm happy to share with you one last time Birkenstock's exceptional performance for the first quarter of 2025, which came in ahead of our expectations. First quarter revenue were €362 million, growth of 19% in both reported and constant currency, above the high end of our 15% to 17% annual guidance for the year. B2B was up 30% and our DTC was up by 10%, a strong result. DTC share of business was 49% in the quarter, down 400 basis points from a year ago. As Oliver mentioned, we expect more balanced growth between DTC and B2B for the remainder of 2025. Gross margin for the quarter was 60.3%, slightly down 70 basis points year-over-year, primarily due to the higher B2B mix this year. Selling and distribution expenditures were €118 million in the first quarter, representing 32.7% of revenue, down 130 basis points primarily due to the lower DTC penetration compared to last year. General administration expenses were €24 million or 6.7% of revenue in the quarter, down 120 basis points year-over-year, primarily due to the operating leverage from strong revenue growth and lower IPO-related expenses. EBITDA in Q1 of €102 million was up 25% year-over-year and margin of 28.2% was up 130 basis points year-over-year due to the strong improvement in SG&A. Adjusted net profit of €33 million in the first quarter was up 99% and earnings per share was €0.18, up 100% from a year ago. Cash flows used in operating activities during the first quarter was €12 million, an improvement of €34 million year-over-year. This was driven by the strong EBITDA growth combined with improved working capital efficiency. We ended the quarter with cash and cash equivalents of €299 million, down from €356 million at the end of fiscal 2024 due to the normal seasonality of our working capital usage. We improved our inventory-to-sales ratio to 39%, down from 42% in Q1 2024. Our DSO for the quarter were 15, down from 19 a year ago, despite the higher B2B mix. During the quarter, we spent €90 million in capital expenditures, adding to our production capacity in Pasewalk, Gorlitz and Arouca. Our net leverage was 1.9 times as of December 31, 2024, up slightly from 1.8 times at the end of fiscal year 2024 due to the seasonality of our working capital. I'll now hand the call over to Ivica to discuss the outlook for the second quarter and remainder of fiscal 2025.
Ivica Krolo: Thank you, Erik, and I appreciate your support during this transition. As we look forward to the remainder of fiscal 2025, we believe we are well-positioned to meet our stated growth and profitability objectives. For the remainder of 2025, we see more balanced and healthy growth from both DTC and B2B, with DTC coming in slightly ahead of B2B overall for the year. We are reiterating our growth and margin targets for the year. We forecast revenue growth of 15% to 17% in constant currency. Gross profit margin should improve year-over-year as we increase utilization and efficiency at our production facility, moving closer to our 60% target. And we expect adjusted EBITDA margin in a range of 30.8% to 31.3%, an increase of up to 50 basis points compared with 2024. CapEx are expected in the range of €80 million and we see net leverage of approximately 1.5 times by year end. As you know, the second quarter is an important quarter for our B2B business with significant shipments to our partners for the spring/summer season. We feel good about where we are relative to our full-year revenue growth guidance of 15% to 17%. The mix in Q2 is more heavily weighted to B2B, so we expect the usual seasonal decline in gross margin and increased EBITDA margin when compared to the fiscal first quarter, but all within the context of our full-year margin guidance. And now, I'll hand it back to Oliver for his closing remarks.
Oliver Reichert: Thanks, Ivica. We are off to an excellent start in 2025 with strong double-digit revenue growth, excellent margins, and success leaning into the white space areas we highlighted over a year ago. Our brand strength was evident as Birkenstock proved to be one of their clear winners this holiday season and that strength continues with a very strong order book into the important spring/summer season. We are leaning into the strong consumer demand in both our B2B and DTC channels and continue to carefully execute on our proven engineered distribution strategy to drive ASP growth, ensure healthy stock levels, and maintain strong full-price realization. We are entering the next chapter of growth as we tap into our white space opportunities and see a long runway for growth in all three; closed-toe shoes, owned retail, and APAC. Globally, we are increasing brand awareness, educating the consumer on the purpose of the Birkenstock footbed, and growing our retail and digital presence to gain share. I would now kindly ask the operator to open our Q&A session. Thank you.
Operator: [Operator Instructions] And the first question today is coming from Jay Sole from UBS. Jay, your line is live.
Jay Sole: Great. Thank you so much. I have one question in two parts. The first question is, Oliver, the quarter was really strong. Why aren't you raising the guidance for the full year given the strong beat that you had in first quarter? And then secondly, can you address the strong B2B growth that you had? What drove the strength? And why will the growth be more balanced between channels as you look over the rest of the year? Thank you.
Oliver Reichert: Hello, Jay, thank you for your question. Yes, we are off to a great start into 2025, but keep in mind that Q1 is the smallest quarter of the year. In '24, it was made up only 17% of the total annual revenue. So we still have over 80% of the year ahead of us. Also we have a very strong order book. But keep in mind that there is a lot of macroeconomic uncertainty, interest rates, currency movement, tariffs. The inflation in the U.S. is over 3%. In the Eurozone, we're facing inflation of 2.5% at the moment. And all this is before the impact of any new tariffs. So the potential impact on the global economy and global consumer is highly uncertain. And we have a big D2C business in the second half of the year which is not that good foreseeable compared to order book we're playing in the wholesale. So while we are off to a great start and business is strong for all of those reasons, we think it's prudent to stick with our current guidance for the year. And coming back to your second question or second part of the question, our sell-through was up around 40% full price, 40% up full price with an average price increase of around 10%. I think these are very strong metrics for the wholesale business. And the average inventory was only up 10%. So stock to sales ratio is very healthy. Our B2B business continues to be a very strong indicator of the overall end-user demand, especially in an environment where consumers, especially the younger target groups are returning to in-person shopping. So this is a great wholesale business and we love our wholesale business. Be assured our demand is super strong and we will never, never compromise our distribution strategy from pull to push. Don't expect such a thing from us. Going forward, D2C we see more balanced growth as we accelerate our own global retail store growth. Our own retail business was up 70% in the quarter on a small base. But we are also seeing more global opportunities to grow our digital business in the future. Thank you.
Jay Sole: Great. Thank you so much.
Operator: Thank you. And the next question is coming from Laurent Vasilescu from BNP Paribas. Laurent, your line is live.
Laurent Vasilescu: Yes. Good morning. Thank you very much for taking my question. Erik, thank you for your leadership and support over the last 18 months, and I wish you the best in the future. Ivica, welcome. As you looked at the opportunity to join Birkenstock, what was it that excited you most? What do you see as the biggest challenge and how do you plan to address that? And then I have a quick follow-up on the model. Thank you.
Ivica Krolo: Thanks, Laurent, for the question, and I'm looking forward to working with all of you in the future. It's a lot about the opportunity at Birkenstock which is very attractive to me. To state the obvious, we have significant growth opportunities for the company over the next decade and beyond. It's really rare to find a company with a 250-year old legacy that still has such substantial growth ahead and that's very exciting. Then culturally, I think it's a great fit for me. I love the brand. I love the history, its purpose and it's a real - and just really looking forward to help to guide the company through the next leg of growth together with a great team. On the biggest challenges, well, the challenges obviously any rapidly growing company is facing. So making sure that systems, infrastructure and team are scaling in line with the business. So keeping up with the growth that we're seeing is certainly a big challenge and be leading in terms of technology, processes and communications. The good news is I'm coming to a company with a very, very strong foundation and the resources to ensure the proper investments are made and scale the business right away.
Laurent Vasilescu: Very clear. And then it's good to hear that DTC and B2B should be balanced growth going forward. Should we assume that for the second quarter and should we, overall, assume 2Q overall sales to be roughly in line in that - of that revenue range of 15% to 17%? Or should we assume it a little bit higher or a little bit lower? Thank you.
Megan Kulick: Hi, Laurent, it's Megan. I'm going to have to ask you to repeat that question. We had a siren going behind right when you were in the middle of the question. Do you want to…
Laurent Vasilescu: Sorry to hear that.
Megan Kulick: Yes, if okay.
Laurent Vasilescu: Okay. Hopefully, there's no fire. Yes, thank you, Megan. So the quick question here is it's great to hear that B2B and DTC will be - will have balanced growth for the year. I think that's a big debate out there in the investment community. But just curious to know, should we assume that for the second quarter? And overall, I think last quarter you called out for 1Q to be on the slightly higher range of 15% to 17% growth. Should we assume a certain range for 2Q for overall sales? Thank you very much.
Alexander Hoff: Hi, Laurent, this is this is Alexander speaking. Yes, overall, we said we want to achieve balanced growth between the channels, B2B and D2C on a full-year level 2025. And we also called out that there are some fluctuations between the quarters. This can always happen depending on how we ship. But overall with that outperformance in B2B in the first quarter, it is fair to assume that we expect over the next quarters cumulative stronger growth in D2C compared to B2B.
Laurent Vasilescu: Okay. Thank you very much. Best of luck.
Operator: Thank you. The next question will be from Mark Altschwager from Baird. Mark, your line is live.
Mark Altschwager: Great. Thank you for taking my question. And Erik, we wish you well. So you delivered some nice EBITDA margin expansion in Q1, well ahead of the run rate for the annual guide with improvement in SG&A. I was hoping you could talk us through the drivers here and the implications for the balance of the year. And could you see upside to the guidance for 50 basis points of EBITDA margin expansion given the strong start that you delivered? Thank you.
Alexander Hoff: Hi, Mark, this is Alexander. Great question, first of all and let me guide you a little bit through the first quarter as a starting point. Essentially, the biggest driver of the improvement in the EBITDA margin was really the shift in channels in the quarter. So as you recall, we have always said that our B2B channel has a significant lower gross margin compared to D2C, but it has a slightly higher EBITDA margin and this is what we are now seeing as a result in the first quarter because it - those channels, the D2C channels have a much higher selling and distribution expenses compared to B2B. So with the stronger B2B growth in the first quarter compared to D2C, this had an impact on the SG&A comparison year-over-year. And as I said in the first question, as we look into the full year '25 and the more balanced growth between the channels, we expect the upcoming quarters not to be impacted in that way how it was in the first quarter. Based on those trends, there should be less an impact on SG&A as well as EBITDA margin year-over-year in the next quarters. So we stick here with our guidance in EBITDA margin of up to 50 basis points for the full year and you shouldn't assume that the 130 basis points improvement in the first quarter carries through the remainder of the year.
Mark Altschwager: Thank you. And maybe just a quick follow-up there related to gross margin then. For the first quarter, you did not call out incremental pressure related to the facility expansion. So it sounds like that ramp must be going well. And then with the channel dynamics, you talked about perhaps less of a pressure on gross margin in the second quarter. So I guess as we put all that together, should we expect gross margin expansion beginning in the second quarter? Thank you.
Alexander Hoff: Yes. You're absolutely right. We didn't call that out in the first quarter. Any impact from capacity expansion, it's quite the same than last year. So it has not an incremental margin impact in the first quarter of this financial year. And as we said before, we are expecting that in the second half of the year, we expect a positive impact from the utilization of our factories. And so you can, at a full-year basis, expect a modest improvement in gross margin.
Mark Altschwager: Great. Thanks, again.
Operator: Thank you. The next question is coming from Matthew Boss from JPMorgan. Matthew, your line is live.
Matthew Boss: Thanks. Congrats on another nice quarter. So Oliver, maybe could you elaborate on key drivers of the revenue upside in the first quarter, maybe particularly the direct-to-consumer acceleration that you cited to exit the quarter? And then just relative to the larger picture comments on macro uncertainty, I guess, have you seen any softening at all in demand momentum post-holiday in the second quarter? And just anything you're seeing in terms of visibility for the back half aside from just the larger picture macro uncertainty.
Oliver Reichert: Hi, Matt. Thank you. Thank you for the question. I'll take the first part. We don't see any softening at all. I mean, we believe that the brand demand is super strong globally, by the way. I think the ultimate truth is in wholesale. If you perform as we do perform in wholesale with this full price realization, very high sell-through ratio. It's an unbelievable strong demand out there and the people and the customers, they should decide where they want to shop our product and they do it, especially the younger target groups. But Nico and David can give you some more detailed color than this on the - we see a very strong order book. We see very strong demand globally, so we're fine on this.
Nico Bouyakhf: Hi, Matt, this is Nico. Thank you for your question. I'll touch a bit on the growth drivers in Q1. So as we heard in the earlier part of this call, it is really a broad-based demand across all regions. So that's something that we have to consider that we're very pleased with. Particularly, we had a very strong holiday and gifting season. So as consumers, even in the areas of our globe where it was getting colder as they switched into the winter wardrobe, they really remained loyal to us. We are becoming much more of a full-year brand. Furthermore, I'd really like to share that we see a very strong growth contribution from the white space opportunities we shared during our IPO. Closed-toe, as we shared earlier, is going at twice the speed as compared to our overall growth and the share of business is up 600 basis points and now making up more than 50% of revenues. In the Americas region, it's two-third of the business driven by closed-toe. In EMEA, our online business is the same. Two-third of the business is closed-toe. Retail is our fastest-growing channel and be reminded that we just opened four new stores, totaling now at 71 stores globally. And the bigger part of expansion is still to come. So we're bringing the 71 stores closer to 100 in this fiscal year. So you see us opening many more stores again across all the regions. And finally, I want to touch on the APAC region. Again, a very, very strong growth, strong results with accelerated partner store openings. We opened 19 partner stores and that's also paying into the B2B revenue recognition. And we generally see an increasing brand awareness in that region that results in strong demand, especially in higher price points. That's also something really worth mentioning compared to other brands.
Operator: Thank you. And the next question is coming from Randy Konik from Jefferies. Randy, your line is live.
Randy Konik: Hi, good morning. Maybe give us some perspective on the amount of allocation improvement or space - shelf space gain that you got in 2024. Maybe dimensionalize that for us and maybe give us some perspective on what you see in 2025. And maybe kind of characterize how you also see pricing versus units looking into the year to come up with your guidance on overall top line? And then relatedly, maybe just give us some perspective on APAC. It's obviously growing extremely well and it's early days. Just maybe give us some, again, some perspective on where you are with allocation there, wholesale partners, et cetera, just the building blocks of that business or that geography would be super helpful. Thanks, guys.
David Kahan: Hi, Randy, this is David. Thanks for the question. As you know, the word allocation ties to the term engineered distribution we use. We are a true sell-through company, not a sell-in company. So as we take share, we manage the allocation to make sure the stock-to-sales ratios are always healthy. As Oliver said when he answered the opening question, when you're delivering selling results in an aggregate of retail partners that's 30% to 40% and above 40% increases on an average stock level that's only up 10%, your stock-to-sales ratios are incredibly healthy. Are we - and where we're taking share goes beyond our traditional sandal category. I think that's the beauty of this. The growth rate in closed-toe shoes is twice the rate of the rest of the collection. In the Americas, closed-toe shoes was two-thirds of the revenue in the quarter. So you're seeing a much broader based acceptance of the brand. Clogs are leading the way, but it's clogs, it's shoes, it's shearling and sandals. So very broad-based success in the quarter and we continue to allocate against that. And as Oliver said in the opening question, we will never compromise the allocation, the scarcity. So suffice to say, as much as the demand increases and as much as there is an appetite in the wholesale market to increase our shelf space, we manage that very strictly.
Alexander Hoff: Hi, Randy, this is Alexander. Second part of the question, brief and quite straightforward. So we expect and reiterate two-thirds unit growth and one-third in ASP. And ASP will continuously driven on the one hand by product mix with consumers continuously buying into more higher price points. And secondly, like-for-like pricing. And with a balanced growth between channels for '25, you should not expect an impact from channel mix.
Oliver Reichert: Just on Asia.
Megan Kulick: Hi, can you just repeat the question on Asia?
Randy Konik: Just give us some - just further give us some perspective on where we are with that. Obviously, we're early days. Where are we with distribution? Where can we expect to go with distribution over the next couple of years? That would be super helpful.
Klaus Baumann: Hello, Randy, this is Klaus. So, as we always said, we are expanding in a mixed model. So we are having partners in Asia running mono-brand stores. As you have seen, we are very strong in opening our own fleet in DTC and also this season, we had the first holiday season with this setup and we said that coming in very strong. So we will keep the pace of opening, but very - in a very good premium way. And important is to really do the brand - building the brand awareness and being strong on spreading the world of the brand into territory that consumer is really getting the right message here.
Operator: Thank you. The next question will be from Louise Singlehurst from Goldman Sachs. Louise, your line is live.
Louise Singlehurst: Hi, good morning, everyone. Thank you for taking my question. I just wanted to have a - some commentary with regard to lots of new product coming through on the new launches and the opportunities for price mix that, that might provide for you as you work your way through '25, but also looking further down the line. And the new products, are they - can you just give us a bit of color in terms of the appetite from the consumer? Is that more of a loyal customer coming in and broadening out the Birkenstock range at home? Or is that a good new customer acquisition tool as well? That'd be very helpful. Thank you.
Nico Bouyakhf: Hi, Louise, this is Nico again. I can give you some color on the latest launches in Q1 in EMEA. So we are very pleased to see that in EMEA shoes, one of our expansionary categories had a record quarter. So as Oliver was referring to, the majority of the top 20 and the top 10 selling styles was closed-shoes, but also boots at a price point of €200. So how we usually spearhead that success is we venture into our DTC business where we have the most loyal customers and what we see is we can easily migrate them into new styles, into higher price points and that's also what we saw with the shoes category. Now you might recall that we also doubled the order intake because what we do is for B2B, we take the success from DTC and bring it into B2B. And we doubled the order intake for autumn winter '24 on shoes and we just see now very promising sell-through results. So this is how we expand with our expansionary categories starting with DTC with our most loyal customers and then going into B2B to reach a more critical mass and drive penetration in the market. And there's more to come on this one.
Louise Singlehurst: Thank you.
Operator: Thank you. The next question will be from Paul Lejuez from Citi. Paul, your line is live.
Unidentified Analyst: Hi, this is [Kelly] on for Paul. Thanks for taking our question. Just wanted to clarify a comment from earlier on the gross margin. Did you say the capacity ramp of your Pasewalk facility? Was it still a drag in 1Q? Any way to quantify that? I believe it was only a 50 basis point drag in 1Q last year. And just given it was a pretty significant headwind to gross margin, in 2Q last year, should we expect that to flip to a tailwind beginning in 2Q this year? And then just any other - if you could just give us any more detail on the puts and takes to gross margin in 1Q, how much did pricing benefit gross margin and what we should expect for pricing going forward? Thanks.
Alexander Hoff: Hi, Kelly. This is Alexander speaking. Yes, on the gross margin in the first quarter, you're right, it was still an impact, but the same impact than the previous year's first quarter. So not an incremental pressure on margin. And we expect in the back half of the year, so starting second, third, fourth quarter to be a little bit positive against that 150 basis points on full year for the year '24. And we confirm also that we want to completely offset this 150 basis points margin pressure in the third quarter of '26. So you will see a constant improvement quarter-by-quarter on the gross margin piece from the underutilization from the Pasewalk factory.
Unidentified Analyst: Just on pricing?
Alexander Hoff: Yes. On pricing, I mean, we are regularly reviewing our pricing structure. I mentioned before that ASP will be not only driven by product mix but also by like-for-like pricing. We are doing it very surgically those kind of adjustments. So it will be in the single digit - low-single digit amount each year. We are doing style by style, not on average for all of those products depending on how we want to price each of the products. And, yes, on the inflation, so clearly the goal is to offset inflation by pricing, but we are also working internally on cost structure and supply chain to further gain shares here.
Unidentified Analyst: Got it. Just one follow-up on just the flow of the year from the top-line perspective. Is it fair to assume that given we're coming up on some of your biggest quarters here and the share of close to, I assume, given as we move to spring becomes a lower penetration of assortment, will we assume 2Q, 3Q are sort of towards the low end of the guidance range? Just any color you can provide there would be helpful. Thank you.
Alexander Hoff: Yes, we are not guiding specifically for quarters, Kelly. I think we've given a little bit of guidance around how we see margins in the next quarters, but we are not specifically guiding quarters.
Unidentified Analyst: Got it. Thanks. Best of luck.
Operator: Thank you. The next question will be from Simeon Siegel from BMO. Simeon, your line is live.
Simeon Siegel: Thanks. Hi, everyone. Nice broad-based growth. Erik, it's been great getting to know you. Best of luck in the next chapter. And Ivica, welcome aboard. Looking forward to meeting you in the future. So we can hear your comfort and health of the B2B business in the qualitative comments, but you also offered some quantitative color. I mean, you brought up the improving DSOs and earmarks. Any further color you could share on composition of receivable health? Maybe talk about how much of the B2B growth has come from deeper - going deeper within existing doors versus new. David, I assume from your comments safe to say your retail partners would still love to take more if you're willing to give them more. So anything further on that would be helpful. Thanks, guys.
David Kahan: Yes. Hi, Simeon, just a quick comment on that. As we've said, 90-plus percent of our wholesale growth is coming from existing partners and existing doors. So that indicates that on this growth level, it's clearly taking share and it's clearly expansion from our basis business. So the stronger the business is, the more we continue to expand slowly and very deliberately. We had a very, very strong holiday sell through and the business was strong going into the holiday season. So obviously, results correspond to future order book and demand, and clearly, you're absolutely right, there's probably not a retailer out there that would not want more product and then it's contingent upon us to determine how much they get and - in what quantities and how the brand shows up at retail. So we can be very intentional right now about where we're taking our business and continue what we've been doing based on the results.
Simeon Siegel: That's great. And then would you guys be willing to quantify the gross margin drivers this quarter all anymore, just thinking through product, geo, channel mix shifts, higher ASP, et cetera? So anything in terms of how Q1 played out? Thank you.
Alexander Hoff: Hi, Simeon, this is Alexander again. Yes. I think I touched a little bit already on the first quarter gross margin. So it's quite straightforward in this quarter. So the - really the biggest part of the 70 bps decline is relating to the change of the channel mix with 400 basis points less B2C penetration, that gives you approximately the gap you're looking for. And yes, all other drivers have been not material. So we managed to offset inflation. So this was not a big driver by the targeted price actions. Product mix was not a big driver. So essentially it's - I called also out Pasewalk, so essentially it's only then the channel mix.
Simeon Siegel: Great. Thanks a lot. Thanks a lot, guys. Best of luck for the rest of the year.
Operator: [Operator Instructions] The next question is coming from Dana Telsey from Telsey. Dana, your line is live.
Dana Telsey: Thank you. Good morning, everyone. Nice to see the progress. As you've touched on faster DTC growth in B2B as we go through the year, any more perspective on e-commerce versus own stores? How you're seeing current store opening performance versus the base and how you're thinking about store openings by region this year? Thank you.
Nico Bouyakhf: Hi, Dana, this is Nico. It's a great question. I'm happy to take the question. So as I touched on, retail is the fastest-growing channel and will remain the fastest-growing channel when we look into the future. We operate 71 stores. We just opened four stores in this quarter and we're going to bring the total number closer to 100 this year. So we will be opening many, many stores. What we see is the newly opened stores, they deliver higher ASP, a better conversion rate and a better square meter productivity. So it's a proven store model that - we are not looking for locations at a AAA location. We are going to the side street next to the AAA location. We operate stores at 120, 150 square meters. The CapEx payback is and will be at - between 12 and 18 months. So it's a really highly proven store model and we definitely see success. And on some locations that we are - that we have secured, so there will be locations across all three regions where we open new stores, there will be a new store in London, another store in Paris. We will also look into the Spanish region, but you'll see opening every quarter dynamically growing into every region. So on the online business, we do believe we have a very strong online business. As you know, it's 90% of our DTC and we still do see a significant growth opportunities from a regional perspective, but also from a customer perspective. Just be reminded, in our Asia region and the APAC region, we just opened four new countries [indiscernible] destinations. Our business in.com in Middle-East Africa is just two years old, so really in its infancy and you see further growth coming from those from those regions. And just to close off with the new customer audiences, as we expand with expansionary categories in our online business and we just shared the great results there, we also acquire new customers and that's going to continue also into the next seven quarters and the next two years. So we are very, very positive about the DTC and the outlook that we have with this channel.
Dana Telsey: Thank you.
Operator: Thank you. The next question will be from Lorraine Hutchinson from Bank of America. Lorraine, your line is live.
Lorraine Hutchinson: Thank you. Good morning. As you run scenarios around potential tariffs into the U.S., what levers are you considering? Do you plan to offset any potential tariffs with pricing?
Ivica Krolo: Thank you, Lorraine, for your question. It's Ivica speaking. And on - as you know, our final assembly is entirely in Germany, so we would only be impacted by tariffs on imports from Germany. And the good news is here that we have historically had the ability to take pricing action globally that offsets these inflationary pressures including tariffs, without any impact on our business. This is something that we will obviously monitor closely and do whatever we can do to mitigate the impact through cost initiatives and pricing adjustments. So it's not about just pricing adjustments, but it's overall for us to gain efficiency through cost initiatives. One point I want to mention in addition is that besides, we may see a couple of indirect impacts as tariffs may drive inflation generally and may impact also consumer sentiment, which certainly adds to the uncertainty Oliver mentioned in his initial statements. But overall, we're watching that closely.
Lorraine Hutchinson: Thank you.
Operator: Thank you. The next question is coming from Micheal Binetti from Evercore ISI. Micheal, your line is live.
Micheal Binetti: Hi, guys. Thanks for taking our question and for all the detail on the call here. Congrats on a great quarter. Just to double-click on the earlier question on gross margin, I think in second quarter last year there was a pretty big step up in the gross margin pressure from the factory deleverage relative to 1Q. I know you did speak to it. I can hear your confidence in the gross margin in the second half. Is there - are there any puts or takes that are unusual that we should think about on the gross margin in the second quarter that holds you back from saying there's a step up in the gross margin there or is it just conservatism given it's a bigger wholesale quarter? I guess, and then maybe bigger picture one for David, as you look across some of the parts of the wholesale channel in the U.S. that stocked out, which we saw in a lot of our work stocked out of key gifting items this Christmas, how do you think about adjusting the strategy relative to that level of unmet demand for next holiday? I know you're always balancing this, David, with managing the corporate first principles at Birkenstock for managing scarcity. Just any thoughts you have as you look across the results in this holiday?
Alexander Hoff: Hi, Micheal. Alexander here speaking for the first part of the question regarding gross margin. Yes, the puts and takes, again, we are not guiding specifically quarters, but what I can say is that we are not seeing a substantial impact from channel mix in the second quarter. And on the Pasewalk impact, as I said before, we are not expecting additional pressure. So - but quarter-by-quarter, you will see now that 150 bps from last year turning into a positive impact quarter-by-quarter.
David Kahan: Michael, I'll take the second part of that. This is David. Yes. As you know from following our brand in the market, allocation and distribution is half art and half science. I mean, we do it with a lot of data, we have planners, we have analysts on a door-by-door, on a style-by-style basis. We're always going to make sure that the stock-to-sales ratios are always healthy. So while we don't want stockouts all over the market, clearly, some of that unrequited love and the demand that it creates for the brand is part of this flywheel impact that we get and that's why demand keeps increasing. And what we keep finding continually is the more we put additional product into the wholesale market, the more the demand continues to increase. And again, just remember, our DTC base is already at 40% penetration with 90-plus percent of it being digital. So as we open more of our own doors, the white space category that we've been talking about, that's just more points of distribution where we can fulfill that demand. So it's all really part of one ecosystem. Suffice to say, the stock-to-sales ratios that are maintained very healthy in the wholesale market are basically the foundation for the entire business model.
Micheal Binetti: Okay. And maybe just one quick follow-up on the model. Is there - related to your very last comment there, is there anything in the guidance for the year assuming a price increase that's directly earmarked for tariffs or would that be incremental if tariffs happen and it's not included in the guidance at this point?
Oliver Reichert: Hi, this is Oliver. I think there's no big sense in discussing the possible tariffs up and down because it's really impossible to foresee this. I think the tariffs will have more an impact on overall inflation and the overall macroeconomic, because as I mentioned in my first question and the answer, it was inflation in the U.S. is above 3% and that's before all the tariffs kicks in. So this is why we are concerned about the tariffs. As you know, we constantly adjust our pricing every season very, very precisely, style-by-style and it's the opposite what you can see from the luxury industry where they waste pricing all over by 10%, 20%, 15%, 30%. We go step-by-step very precise let the - article group, textile, different one and that's what we're doing. So I would call it price adjustments. And yes, if something happens, some price increases on raw material side, on tariffs, whatever, then, of course, we try to balance it out within our collection, but don't expect an overall price increase to be - to happen with us.
Micheal Binetti: Okay. Thanks again, guys. Congrats.
Operator: The next question will be from Anna Andreeva from Piper Sandler. Anna, your line is live.
Anna Andreeva: Great. Thank you so much for all the color and taking our question. Could you provide a little bit more color on your loyalty program? I think you said 8.8 million people this quarter. So nice growth versus, I think 8 million you called out last quarter. Just curious, how is it performing versus expectations? And what are some of the recent KPIs of how you measure how success is going to look like in '25? And then we had a quick follow-up.
David Kahan: Yes, thanks. Great question. Our members are very important to us. As you know, people who wear Birkenstock aren't just consumers, they become our fans, they become our brand missionaries. And the more we wrap our arms around them, the better the return on investment is for us. Our membership at over 8 million right now is 30% higher year-on-year. I can certainly see it moving to 10 million quite quickly when you do the math on it. Marketing to our members has been very successful. I believe almost 50% of our DTC business came from members in the past quarter. And just remember, our members tend to spend 30% higher per transaction. So the return on investment as we market to them and as we share new products, if you've won Birkenstock in any product, if you came to us by way of the sandal or the clog and you've experienced the footbed, odds are much higher, you're going to adapt for another use occasion, a closed-toe shoe or an outdoor shoe or recovery or if you work in healthcare or hospitality or professional shoes. So as our membership grows, we see that as a key driver for our DTC business. And just remember also the more touch points we have as we open retail stores around the world, those retail stores also become vehicles for membership.
Anna Andreeva: Yes, that's awesome. That was very exciting. Thank you, David. And just as a follow-up, so APAC was up very nice 47% in 1Q and you mentioned accelerated pace of door openings and also deliveries during the quarter. Should we think there's a timing shift which could negatively impact the second quarter growth rate in the region or that should affect the current quarter?
Klaus Baumann: Hello, Anna, this is Klaus. We always said we are very fine with the growth rates in APAC having double of our mature markets. And this is also what we keep. So I think that answers the question, right?
Anna Andreeva: Got it. Well, thank you so much.
Operator: The next question is coming from Sam Poser from Williams Trading. Sam, your line is live.
Sam Poser: Thank you. Thank you for taking my question. Just quickly, you mentioned that Q2 is another big sell-in quarter. And I'm just trying to balance out how the DTC for the year is going to grow faster. Do you anticipate DTC to grow faster than wholesale in Q2 or is that DTC growth going to be driven a lot by these new stores that are going to open and impact the second half of the year?
Alexander Hoff: Hi, Sam. This is Alexander speaking. We cannot be that specific. What we said is that we want to grow in the remaining quarters more in D2C to come than on a full-year basis to a balanced number. Will it be quarter two, three, four, that would be really too specific and it also depending on how we ship into the wholesale accounts.
Oliver Reichert: In general...
Sam Poser: And you're still…
Oliver Reichert: In general, as you know, Sam, because the business best probably, the first half is wholesale heavy and the second half of the year is more DTC heavy. So that probably gives you the best direction how to think about this.
Sam Poser: And so that also would be a balance of the gross margin. Another reason for the gross margin in the second quarter, while it may increase year-over-year just to being the biggest wholesale quarter to keep it well underneath Q1 and underneath the full-year average, I would think. Is that a good way to think about it?
Alexander Hoff: Absolutely. That's correct.
Sam Poser: Thanks very much.
Operator: Thank you. The next question will be from Erwan Rambourg from HSBC. Erwan, your line is live.
Erwan Rambourg: Yes, hi, good afternoon. And best of luck to the outgoing and incoming CFOs, if I can put it that way. Two little follow-ups. First of all, on closed-toe shoes being comfortably above 50% of the business in Q1. Where do you see this going in Q2 and maybe for the full year? I think you mentioned 600 basis points of incremental contribution in Q1. How should we think about the full year? I think you were a bit above 30% contribution for the full year of last year. And can you - I don't know if you've said what difference the ASP is relative to average. And then secondly, a follow-up on wholesale, for David or possibly Nico and Klaus as well. It's quite stunning that you're growing 30% given that 90% of the growth is with existing doors. So sorry for the naive question, but how much more space can you actually - can they actually accommodate? And at some stage, even though I understand you're more pull than push, will you not need to sign up with new partners at some stage to increase the visibility of the brand? Thank you.
Nico Bouyakhf: Hi, Erwan. This is Nico. Thank you for your question. I'll take the first part and then, I guess, we're going to share a bit the second part of your question. So yes, you're right. So closed-toe increased by 600 basis points. It's two times faster than the rest of the business while our open-toe business is also growing double digits and I think that's really worth mentioning. We have given and be reminded that this quarter is probably one of the quarters with the highest closed-toe penetration due to seasonality. So don't expect us to deliver the same share of business in the coming quarters. We have given not ourselves a specific target for quarter, but we see great opportunity coming out of this quarter in the closed-toe business and also specifically in closed shoes as I just shared earlier on with the great results we achieved in closed shoes. When it comes…
Erwan Rambourg: And maybe just on the ASP point, how much more expensive in terms of ASP at closed-toe versus the average of the business?
Nico Bouyakhf: So just as you can imagine, closed shoes is a much higher ASP than sandals. So I referred to the boots example that we had great success in Q1 with boots and they are sold at €200 price point and that's adopted by the consumer. So you can imagine what's the sort of potential difference in ASP between those categories between sandals and closed shoes.
Erwan Rambourg: All right.
Operator: Thank you. The next question will be from Jim Duffy from Stifel. Jim, your line is live.
Jim Duffy: Thank you. Very clear momentum in the B2B. Following up on that last question, very interested in the evolving product mix at wholesale. Can you speak to what you're seeing in the order book by product type and ASP mix within the orders? Specifically interested in whether the wholesale channel partners are embracing more premium offerings and how that's balancing with interest in EVA offerings like the [Berkeley]? Thanks.
Nico Bouyakhf: Thank you, Jim, for your question. Great question. What we do definitely see is, I'll start with the consumer. Consumer continue to seek our premium product. The leather share is increasing. clogs is doing extremely well, not just the Boston, but also clogs derivates. So that's another premium category that is doing extremely well. And what we also just shared is the great adoption of boots in Q1. So yes, the consumer is seeking for our most premium product and that's also reflected in the B2B buys in the B2B order book as retailers are expanding their assortment and widening their assortment with us beyond just sandals.
Jim Duffy: Thank you.
Operator: Thank you. And the next question will be from Janine Stichter from BTIG.
Janine Stichter: Hi, thanks so much for all the color and for taking our questions. One more on B2B. I was hoping you could comment on what you're seeing in some of the newer doors within adjacent categories like outdoor, professional and run specialty. So how penetrated are you in these categories? And just maybe what you see in terms of shelf space potential? Thank you.
David Kahan: Hi, Janine, it's David. In the new distribution, which again is a little bit limited to our traditional base, we're seeing immediate adoption of the brand, whether we show up as a recovery sandal, a recovery product in run specialty, it's the exact same place that we were in when we went into some of these other accounts 10 to 12 years ago. The expansionary categories in our heritage business have been adopted very quickly. I mean, again, when we talk about over half of our business being non-sandals, that's pretty substantial compared to a couple of years ago. When you see the brand out at retail, you're certainly no longer seeing a sandal-based brand. So as we go into some of these other categories where it's a different use occasion, but it's the same footbed, whether you're outdoors, whether you're wearing house slippers, whether you're professional and wearing it in a work environment, it's the footbed. And the more we bring the footbed to different use occasions, the more it's being adopted. So I think it's more a matter of how many use occasions do we continue to expand into and what's the share of closet. I mean, as you remember, the average Birkenstock consumer has owned 3.4, 3.6 pairs of our product. Anecdotally, we think that's even higher. So I don't think there's a limit to how many Birkenstock products our fans can own in their closet. And the more they see it out in those environments where it's validated, the quicker it's being adopted.
Janine Stichter: Great. Thanks so much for the color.
Operator: Thank you. There were no other questions and this does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.